Operator: Greeting and welcome to the MYOS Corporation Quarterly Update and Management Highlights Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. At this time I would like to remind our listeners that remarks made during this call may state management's intentions, hopes, beliefs, expectations or predictions of the future. These are forward-looking statements that involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor provision of the Federal Securities laws. Information contained in the forward-looking statements is based on current expectations and is subject to change and actual results may differ materially from the forward-looking statements and as a result, you should not place undue reliance on any forward-looking statement. Some of the factors that could cause actual results to differ materially from those compensated by such forward-looking statements are discussed in the periodic reports MYOS Corporation files with the SEC from time to time. These documents are available on the MYOS corporate website at www.myoscorp.com and SEC website and we encourage you to review these documents carefully. Joining me on the call today I have Peter Levy, President and Chief Operating Officer of MYOS, who’ll provide an operational overview; Doug Weekes, Chief Commercial Officer, who will provide a commercial and product launch update; and Joe DosSantos, the company's Chief Financial Officer will discuss the annual results. Chief Medical Office, Dr. Robert Ashton is present to answer any questions in the Q&A session. Following the final prepared remarks, we will then open up the call for a question-and-answer session with the MYOS' management team. At this time, it is my pleasure to turn the call over to Peter Levy.
Peter Levy: Thank you and good morning. I want to welcome all of the participants to today's update call. 2014 was marked by the most significant event in the history of MYOS; the completion and reval of the statistically significant clinical results of the study conducted at the University of Tampa. What we learned from the study was extremely exciting. It is absolutely game-changing for key areas of the MYOS strategy. Importantly, the study met its primary endpoint and demonstrated that our flagship product, Fortetropin increases lean body mass and muscle thickness. MYOS was awarded the U.S. patent for the process associated with producing Fortetropin. This factor [ph] alone achieved the goal of this study, the increasing interest in Myostatin inhibition and lean muscle enhancement by the biomedical community, as well as by the larger consumer product companies demonstrates that MYOS is actively focusing on one of the most important spaces in health and wellness today. However our positive news did not end there, as the study generated additional exciting data. We also found that daily use of Fortetropin significantly decreases inflammatory cytokine levels and demonstrates promising anti-inflammatory bio-therapeutic properties providing an explanation for the reports from our consumers that Fortetropin reduces muscle pain and improves recovery after exercise. These important observations were coupled with the fact that daily use of Fortetropin does not adversely affect cholesterol, HDL or triglycerides. The results were not only more compelling than we had hoped for but attained earlier than we expected. One thing is now certain. MYOS has a product that works. That single statement is our biggest asset; Fortetropin delivers as promised. We believe this data is a key to advancing MYOS to the next stage of growth. We are now in a position to take important steps to aggressively grow our business. Let me share with you how MYOS intends to exploit these breakthroughs. First, through the product development efforts and launch preparation under the leadership of our Chief Commercial Officer; Doug Weekes, MYOS is proud to announce today the launch of our new product line; the Re Muscle Health series, Re stands for rebuild, rejuvenate and results. Our all natural products provide great results by scientifically rebuilding and rejuvenating muscle. The Re product line consists of protein bars, meal replacement shakes, puddings and our own proprietary brand of muscle health powder in dietary supplement form. I encourage and I welcome all of you to visit ReMuscleHealth.com today. The products are effective, all natural, healthy, nutritious and they taste great. By launching our own product line under our control we can expand our presence in the consumer market. We believe this will enable MYOS to increase our revenue by selling important products that address the needs of health conscious consumers. All of our products speak to the clinically proven active dose of Fortetropin and also include very high levels of protein and fiber, that consumers increasingly demand in their nutritional products. We feel that the consumers will choose our products because they have the unique combination of providing both the clinically proven benefit of building healthy lean muscle and anti-inflammatory agents. We have worked hard on the development. We spent considerable time and effort, developing a brand image that we believe will uniquely position the MYOS product line as refreshing and bold. This will put MYOS well above the noise of today's one of the run-of-the-mill competition. Re Muscle Health also provides the impetus for MYOS to use the clinical data as the basis for MYOS' enhanced strategy to develop and expand strategic relationships with leading distributors, outside the sports nutrition arena. By ordering products on your next visit to ReMuscleHealth.com you‘ll be able to improve your muscle health and hopefully improve your overall well-being and your lives. Notwithstanding MYOS taking control by marketing our own content ingredient, Fortetropin and our direct launch of Re Muscle Health, MYOS is still an emerging growth company. And therefore its distribution model remains an important component of our success. We continue to sell to sports nutrition arena, through a successful sports nutrition distributor allowing us to reach the body building and fitness community, which was our early and initial intention. Body builders are sophisticated consumers. These individuals can not only see immediate changes in their health and well-being but they are diligent in measuring the results for any change in training or in diet, using sports nutrition distributors is a sound strategy for raising immediate awareness and becoming a rapid and true presence in GNC, regular shop and bodybuilding.com. This type of distribution served our purpose. However profitability, the control of our marketing messages, the control of our advertising and promotion were all in the hands of the distributor. At this stage MYOS needs to leverage our scientifically significant clinical results, proving that we have a differentiable product and more importantly a competitive advantage in the world of muscle health and building lean muscle. In order to put MYOS in a position to succeed, the distribution model and our sales strategy needed to change. While we intend to continue selling Fortetropin to support nutrition and body building distributors we are also planning to expand our current markets, enabling us to capitalize on a product, that is both revolutionary and unique in its attributes. This allows MYOS to reap the financial benefits of our clinical trial results. In the short term there is a cost which must be borne in order to capture the greater markets through a much broader distribution strategy. Furthermore our relationship with Cenegenics continues, since Cenegenics remains a leader in the age management sector. Cenegenics allowed us to strategically enter a market to test how Fortetropin is received as a product that builds lean muscle. The feedback of the consumer interest proved exactly what we had hoped, namely that Fortetropin is a superb product to sell within the age management community. We intend to continue in this space because we believe it represents an excellent opportunity for us. MYOS intends to be at the forefront of muscle health. Importantly we see tremendous opportunity for growth moving forward. We believe that with our clear body of clinical data, our distribution strategy and the anticipated launch of our branded products MYOS is now poised to further execute on our business plan and establish our leadership in the muscle health sector. With that, allow me to introduce MYOS' Chief Commercial Officer, Doug Weekes. Doug has 20 plus years in the consumer products industry and has worked with companies such as Kraft Foods. Doug has an extensive foundation in regard to business strategy and has been a true visionary when it comes to consumer products. Doug is also the recipient of Wal-Mart's prestigious Product of the Year award as well as many other awards. With that I'd like to turn the call over to Mr. Doug Weekes.
Douglas Weekes: Hi, good morning everybody. This is Doug. I’d love to encourage to follow along either on the webcast or honestly I'd love to have you just go directly to the ReMuscleHealth.com site and you can begin to follow along, scroll through and play with the site a little bit as I am speaking to it. Today, we're really excited to announce official launch of Re. Re is a brand that is designed to deliver really great tasting bars, shakes, puddings and powders, each that contain a full serving of our clinically proven active ingredient, Fortetropin, a product, as I think most of you know, is designed to build muscle naturally. As many of you know, Fortetropin targets the biology of muscle and we believe that muscle health and performance represent one of the greatest untapped consumer opportunities in an unmet medical need. At MYOS we consider our targeted indications to be sarcopenia first. Sarcopenia is the age related mass of muscle, both quantity and quality and it impacts the quality of life as people age. Second, is other related disorders which include cachexia, a chronic illness, such as cancer and the metabolic disorders such Type 2 diabetes and obesity, which can be directly correlated to a loss of healthy muscle tissue. So if you look at the next slide it should be very clear then that these targeted indications represent a tremendous market opportunity, well exceeding $30 billion collectively. Let's just focus very simply on what the problem is specifically that the Re brand is designed to solve. So the problem is as we age we lose muscle quantity and quality and what the image depicts here is a very simple profile of just average muscle degradation overtime. You can see from age 30 when you're at a relatively peak fitness, peak muscle strength, gradually phasing or gradually eroding overtime. The loss of muscle health creates a host of other aging related issues and we believe that MYOS’ Re product can help improve that situation. So on the next slide I'd like to introduce the Re product line. So I think you can see that it encompasses three key product areas. First is the Re Muscle Health bar; the second is Muscle Health shakes and these products can also be made into a pudding, just by adding a little bit less liquid into the blend and the Re Muscle Health powder. Now let me take you through each one of these products in some little bit more details so you can understand the thinking and the usage of each of these forms. So on slide six, the Re Muscle Health bars, there are initially two flavors; peanut butter and dark chocolate. Each of these bars contains 20 grams of protein. They have all natural and/or non-GMO ingredients and include a full serving of Fortetropin. The bars are terrific for the benefit of portability. And then shakes on the next slide are very similar in design to the bars. They also contain 20 grams of protein, other non-GMO ingredients plus a full serving of Fortetropin but typically this product is consumed by a consumer who is interested in customizing their own beverage and making this product at home, blending it with other things as well. So the base here in terms of flavor is vanilla and chocolate; the two most popular selling flavors in any shake products. And the final form is the Re Muscle Health powder, and powder in essence for those of you familiar with the products that we have offered in the past, this should be the closest to what you've experienced previously. Flavors, though I think was fantastic. We have a citrus flavor and we also have a coconut vanilla flavor and this product is both a full serving of Fortetropin plus just a little bit of flavor and sweetener to give it a tremendous taste. This is the lowest cost weight to participate in the Re brand. Just sliding on to the next page, I just want to give you a quick overview of the ReMuscleHealth.com site and kind of a peak under the tent into the beginning or the early stage marketing of Re brand. So first, the site again is www.remusclehealth.com. What you're seeing on this slide would be the landing page to the website and in particular I think I want to draw your attention just to two things. First, the key claim on the right hand side in a bold green hexagon; reverse your muscle health clock by 10 years in just three months for less than $70 a month. So we believe this is a very bold and clear consumer friendly claim that helps people understand what Fortetropin actually does and then as you scroll vertically through the site it becomes clear how the Re product works. This site has very simple navigation with simple plug-throughs to our products, our science, learn more about muscle health and then ordering. We are committed to continually improving the site and continuing to provide a superior consumer experience. We strongly believe that our well informed consumer will be our best consumer overtime. Now taking a quick look at how the ecommerce portion of the site will begin to work. Once someone clicks on to products, they will go into one or two ways; they will either click on individual product, such as bar. It would take them directly there. Alternatively if you just click into the product store you will start at the top with a focus on a variety pack offering. The variety pack we believe is the best way for a consumer to drive trial initially and understand what the flavors and forms can do, once they've tried their product, we believe will then comeback and reorder more specifically flavors or forms that they particularly prefer. We're offering, in order to drive and incent trial, we are offering initially this variety pack at a 50% discount to what's priced, as well as with free shipping. So we believe that we have a very strong incentive for consumers to become exposed and engage in the brand. On slide 11 then in addition to the intro with the variety pack we believe that we’ve created an ecommerce experience that’s very easy to navigate and you start with from variety pack through to individual products, all the way through to our 12 week plan. And again the 12 week plans are simply reinforcing the clinical trial study that was conducted over 12 weeks and has the quantified data around muscle health, muscle strength. So again the site is easy to navigate, starts all the way from variety pack through individual items and then finishes with the 12 pack, which is patient. On the marketing of this site and the marketing of the Re brand, today we begin with a comprehensive digital approach to driving search, paid search, social media as well as PR around the business. An initial campaign, the way that we've constructed it is really designed around winning individual consumers, one at a time; the initial focus is to bring 10,000 consumers into the Re brand and those 10,000 consumers will be then activated from a social perspective to they will be provided with incentives et cetera that enable them to reach out to their friend, their network et cetera, and we believe that this will be the most effective way to drive from 10,000 to 20,000, 30,000, 40,000 50,000 and eventually into the millions as we expand media, paid media et cetera. So in summary I would say this, we have a great new brand with proven results to both rebuild, rejuvenate and importantly to deliver quantitatively proven results. We have a very large market associated with sarcopenia and sports nutrition, cachexia, we have proprietary ingredient that's clinically proven with Fortetropin. We have a broad portfolio of products that encompass six different flavors and three different forms, so there is tremendous amount of variety for consumers and the marketing begins today to drive awareness of this site. So with that, I hope you are having a good experience on the site at the moment and I am going to hand it over to Joe DosSantos, our CFO. 
Joseph DosSantos: Thank you, Doug. Good morning everyone. Before I begin I'd like to point out that we filed our 10-K on Friday afternoon. Please refer to our 10-K for details of our operating results and financial condition as of December 31, 2014. The 10-K is available on the company and SEC's website. While 2014 was not without its challenges, I am pleased to say we ended the year fully prepared to execute on our 2015 business objectives. Net sales in 2014 were 3,343,000, slightly higher than 2013 net sales of 3,318,000. This is in light of the fact that we made a conscious decision to move away from exclusive distribution relationships, to developing and launching our own proprietary brand which we believe caused a short term interruption in revenues. Importantly we reached favorable settlements with our distributors; MHP and Cenegenics, who will continue to offer our products in specific markets while enabling us to pursue other third party distribution relationships. Gross profit in 2014 was $1,923,000 or 58% of net sales compared to $1,797,000 or 54% of net sales in 2013. Gross profit improvements in 2014 were primarily due to product sales mix. Total operating expenses in 2014 were $7,128,000, compared to $6,064,000 in 2013. Included in 2014 were R&D and SG&A expenses of $1,348,000 and $5,621,000 respectively. 2014 operating expenses included R&D investment in clinical and basic research programs through academic and industry collaborations, including the University of Tampa study which in large part served as the catalyst and our decision to move forward with our direct to consumer proprietary branded products. 2014 operating expenses also included Re Muscle Health product development and launch readiness costs. Net loss in 2014 was $4,459,000 compared to $4,263,000 in 2013. Excluding stock-based compensation and amortization expense net loss in 2014 decreased to $2,613,000 compared to $2,928,000 in 2013. 2014 results included a tax benefit resulting from the sale of our New Jersey NOLs and unused R&D tax credits under the state’s tax certificate transfer program for $750,000 in cash net of commissions. Now turning to the balance sheet; we ended 2014 with $1,567,000 of cash and $4,534,000 of working capital. Cash increased $1,116,000 compared to the prior year end, primarily due to financing activities. We are both excited and optimistic about the opportunities in 2015. Our Re Muscle Health products will be sold direct to consumer through online ecommerce and marketed through digital direct advertising. We anticipate the success gained through this strategy will support future expansion into retail channels. We are evaluating various public and private financing and strategic transactions. For more information about our liquidity please refer to Note 1 of the notes to consolidated financial statements contained in our 10-K. With that I'd like to turn the call back over to Peter. 
Peter Levy: Thank you, Joe. I hope we provided you all with the thorough business overview and a very optimistic look to the future of MYOS. I'd like to mention some near term milestones that we believe will continue to build significant momentum for MYOS. First, we expect to sign strategic agreements with additional leading distributors to sell Re and Fortetropin in the coming months. Second, we are evaluating financing and strategic alternatives that will fuel our bio-therapeutics division and help continue our marketing for Re Muscle Health as a brand. Third, we are continuing our efforts with Cloud Pharmaceuticals to develop our small molecule program and finally we fully intend to expand and launch Re Muscle Health products in key markets outside of the United States. We believe that the next 12 to 18 months will be exceptional for MYOS and we look forward to updating you on our progress. I encourage all of you to visit ReMuscleHealth.com. With that I would like to turn the call back over to our operator for our Q&A session.
Operator: Thank you. Ladies and gentlemen we will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line Jon Shaw [ph] with Wilshire Investment Partner. Please go ahead with your question. 
Unidentified Analyst: Good morning. Just a quick question, given 2014's results, the disruption of sales, of capital value of shareholder equity, I'd like to know why over $80,000 and cash bonuses were paid to management, what the metric was in 2014 for bonuses to be paid out?
Joseph DosSantos: Hi, this is Joe DosSantos. I'll answer that question. So the bonuses that you see getting paid out, two bonuses were paid out early in the year; one bonus was a sign-on bonus, the other bonus was based on 2013's results paid in 2014 and the final bonus paid out was a guaranteed bonus. 
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions]. We have no further questions at this time. I would now like to turn the floor back over to management for closing remarks.
Peter Levy: Thank you everyone. We appreciate your time and we look forward to speaking to you on the next quarterly call. 